Operator: Good day and welcome to the BancorpSouth Fourth Quarter 2018 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Will Fisackerly, Senior Vice President and Director of Corporate Finance. Please go ahead.
Will Fisackerly: Good morning, and thank you for being with us. I'll begin by introducing the members of the senior management team participating today. We have Chairman and Chief Executive Officer, Dan Rollins; President and Chief Operating Officer, Chris Bagley; and Senior Executive Vice President and Chief Financial Officer, John Copeland. Before the discussion begins, I’ll remind you of certain forward-looking statements that maybe made regarding the company’s future results or future financial performance. Actual results could differ materially from those indicated in these forward-looking statements due to a variety of factors and/or risks. Information concerning certain of these factors can be found in BancorpSouth’s 2017 Annual Report on Form 10-K. Also during the call, certain non-GAAP financial measures maybe discussed regarding the company’s performance. If so, you can find a reconciliation of these measures in the company’s fourth quarter 2018 earnings release. Our speakers will be referring to prepared slides during the discussion. You can find these slides by going to bancorpsouth.com and clicking on our Investor Relations page, where you will find them on the link to our webcast or you can view them at the exhibit to the 8-K that we filed yesterday afternoon. And now, I'll turn to Dan Rollins for his comments on our financial results.
Dan Rollins: Thank you, Will. Good morning. Thank you for joining us today to discuss BancorpSouth's record fourth quarter 2018 financial performance. I'll begin by making a few brief comments regarding the highlights about the year and the fourth quarter, John will discuss the financial results, and Chris will provide more color on our business development activities. After we conclude our prepared comments, our executive management team will be happy to answer questions. Let's turn now to slide presentation, and slide two contains the legal reminders that Will has already discussed with you. Slide three covers the highlights for the year. We reported net income of $221.3 million, or $2.23 per diluted share for 2018, both of which are all-time record highs for our company. This represents an increase of over 30% on a per share basis compared to last year. While the reduction in the federal corporate tax rates certainly contributed to this improvement, we’ve made measurable progress in many other fundamental areas of our performance. First of all, our net interest margin, excluding accretable yield, increased by 10 basis points year-over-year to 3.64%. We've been able to successfully outpace rising deposit cost through the repricing opportunities in our loan and securities portfolios. Additionally, the three bank transactions, which closed during the year contributed to this improvement. I will discuss these transactions more in a moment. We continue to improve our cost structure. Our operating efficiency ratio excluding MSR declined by over 100 basis points compared to 2017 to 66.6%. While we continue to be pleased with this trajectory, we have additional work to do to reach an acceptable long-term level. Our credit quality remains strong as evidenced by our provision for credit losses of $4.5 million for the year. Net charge-offs totaled $2.6 million for 2018, which represents only two basis points of average loans. This speaks volumes about the quality of the underwriting and monitoring that our credit team provides. Chris will touch on credit, more in a moment, particularly on the impact of the acquired loans on our credit quality trends late in the year. As we mentioned in our third quarter call, we recognized a onetime tax benefit of over $11 million or $0.11 per diluted share as a result of a pension plan contribution and tax accounting method change related to software development cost. While we considered this item to be non-operating, we're very pleased with this strategic tax planning initiatives provided by our tax team. When adjusting for this time, as well as merger-related cost and other onetime items, our net operating income excluding MSR was $220.7 million or $2.23 per diluted share which similar to GAAP income represents an increase of over 30% compared to 2017. Our annual operating income is also the highest in our company's history. Moving on to capital deployment and management, we completed the first three bank transactions that our company has completed in 11 years. Our merger with Central Community Corporation and Ouachita Bancshares Corporation closed on January 15, while our merger with Icon Capital Corporation closed on the first-day of the fourth quarter, October 1. These transactions collectively added almost $2 billion in loans and over $2 billion in deposits to our company. We crossed $18 billion in total assets for the first time in our company's history. We accomplished all of this, while producing organic, deposit, and loan growth for 2018, including approximately 10% organic loan growth in Texas. As we continue to expand in higher growth economies, we expect our organic loan growth to continue to improve as we offset some of the slower growing geographies we serve. Finally, we were active in our share repurchase program accelerating our repurchase activity late in the year to take advantage of the market pullback. For the full year, we repurchased the full 6 million shares authorized by our Board for 2018. As we entered the New Year, our Board authorized another 3 million shares for 2019. Slide 4 provides a view of our summary financial results over the past five years, both on a GAAP basis and on operating basis. I don't need to spend a lot of time on the details here; however, I do want to emphasize the positive trends and successes detailed on the slide. Most importantly, we have grown operating EPS at a compound rate of 15% per year over the past four years. Moving on to Slide 5, I will briefly discuss our fourth quarter financial highlights. We reported a record net operating income excluding MSR of $56.4 million or $0.57 per diluted share. This represents an increase of almost 40% on a per share basis compared to the fourth quarter of 2017. It also represents a slight increase over the third quarter of 2018 which is notable given the seasonal fourth quarter headwinds in both our mortgage and insurance businesses. Net operating income, excludes a negative pretax MSR adjustment of $8.1 million as well as merger-related expenses of $4.5 million, which were primarily related to the closing and operational integration of Icon Capital Corporation. As I mentioned in my comments about the annual performance, our fourth quarter results also reflected margin improvement. Our net interest margin excluding accretable yield increase to 3.71% from 3.62% for the third quarter of 2018. John will discuss the margin components in more detail in just a moment. In November, we announced the signing of definitive merger agreements with Grand Bank of Texas and Merchants Bank. Mike Casey and his team have done a tremendous job of growing Grand Bank to almost $350 million in assets today. They have four locations in Dallas-Fort Worth and the Texas Hill Country markets. Joe Bedwell, Jim Reed, and their team have grown Merchants Bank to almost 250 million in and around Mobile, Alabama. We're excited about having both of these teams join our company this year. Finally of the full 6 million shares we repurchased last year, almost 3 mostly million shares were repurchased during the fourth quarter. Let me now turn to John, and allow him to discuss the financial results in more detail.
John Copeland: Thanks, Dan, and good morning all. Thanks for dialing-in. If you'll turn to slide 6 in the deck you'll see our summary income statement. As a reminder, the Icon merger closing impacts comparability when comparing to the third quarter results while all three merger closings during the year that Dan mentioned affect the comparability of the fourth quarter – to the fourth quarter of last year. In reviewing the summary income statement, net income was $47.1 million or $0.47 per diluted share for the fourth quarter. As Dan mentioned earlier, we had two non-operating items sizable non-operating items in our fourth quarter results. We had a negative pre-tax MSR valuation adjustment of over $8 million and merger-related expenses of $4.5 million associated with the closing and integration of Icon Capital Corporation. Accordingly, we reported net operating income, excluding MSR, of $56.4 million for the quarter, or $0.57 per diluted share compared to $55 million or $0.56 per diluted share for the third quarter of 2018, and $36.8 million or $0.41 per diluted share for the fourth quarter of 2017. Our net interest revenue increased 7.6% compared to the third quarter of 2018 and almost 26% compared to the fourth quarter of 2017. Our reported net interest margin for the fourth quarter was 3.80%, while our net interest margin excluding accretable yield was 3.71%. Comparable metrics for the third quarter of 2018 were 3.67% and 3.62% respectively. We reported a net interest margin of 3.58% for the fourth quarter of 2017, which obviously was not impacted by any purchase accounting accretion. The increase in our margin is attributable to three main factors. First, we had anticipated purchase accounting accretion associated with Icon; second, icon had higher loan yields on average and a higher margin than our legacy book; and third we reported core net interest margin expansion in our legacy book of business. The reported loan yield excluding accretion increased by 19 basis points compared to the third quarter of 2018, of this increase approximately seven basis points is attributable to the addition of the Icon loans to our portfolio. Our total costs of deposits increased by nine basis points from 43 basis points – I'm sorry 0.43% in the third quarter to 0.52% for the fourth quarter. The Icon deposit base contributed only one basis point to this increase. Accordingly, the primary driver of the increase in deposit cost is continued pressure on deposit pricing across our footprint. Our deposit mix remains relatively stable quarter-over-quarter. As Dan mentioned earlier, Chris will speak in more detail about our deposit sale's efforts and pricing. Before we move to non-interest revenue expense, I'd like to briefly mention credit quality we did have a provision of $1 million for the quarter compared to no recorded provision for the third quarter and a provision of $0.5 million for the fourth quarter of 2017. We do continue to experience low levels of net charge-offs combined with some stability and many of our other credit quality indicators compared to recent quarters. If you'll turn to slide seven, you'll see detail of our non-interest revenue streams. Total non-interest revenue was $59 million for the quarter, compared to $71.6 million for the third quarter of 2018 and $63.1 million for the fourth quarter of 2017. Up side of the movement in the MSR asset valuation, most of our non-interest revenue streams were in line with our expectations. Fourth quarter is seasonally the lowest -- slowest quarter for both mortgage originations and insurance renewals. Wealth management also saw a revenue decline during the quarter primarily as a result of the overall pullback in the market, which puts pressure on assets under management. Chris will touch on each of these businesses more in a moment. Slide eight presents a detail of non-interest expense. Total non-interest expense for the fourth quarter was $152.3 million, compared with $142.4 million for the third quarter of 2018 and $125.9 million for the fourth quarter of 2017. I would briefly point out a few items noted within the trends for certain of these line items. First, there are couple of notable items related to salaries and benefits. In the salaries and benefits line item, our bonus and percentage of comp expense was lower in the fourth quarter than other quarters as a result of year-end true ups of some accrual balances. Also, looking forward, as we move into the fourth -- the first quarter of 2019, FICA will reset proportion of our headcount. On the flip side, we should also begin to see more benefit from cost savings associated with the October 1 Icon acquisition. The second, the $1.1 million decline in the deposit insurance assessments is the result of the elimination of the temporary FTSE surcharge as well as the improvement in other underlying metrics included in the calculation specific to our bank. Also, a small portion of the decline is related to true up of our accruals. The increase in amortization of intangibles is the result of core deposit premium amortization for Icon. As I noted earlier, the increase in merger expense is primarily a result of a closing and integration of Icon. Finally, we saw an increase in other MSR expense. The third quarter was artificially low as a result of a fraud loss recovery, while our fourth quarter results include the elevated expenses related to a consulting credit card and debit card losses and business meals and entertainment, none of which were individually significant. All other expense lines shown on this chart either increased nominally quarter-over-quarter as a result of the Icon merger or remains stable. That concludes our review of the financials. Chris will now provide some color on our business development.
Chris Bagley: Thank you, John. Good morning, everyone. Slide nine reflects our funding mix as of December 31 compared to both the third quarter of 2018 and the fourth quarter of 2017. We ended the year at approximately $14.5 billion of just over $2 billion from a year ago ended 2017. While that overall deposit mix remained fairly stable. With the three mergers closing during 2018 the comparability of current balances and deposit costs to both year-end and interim period is complication by the addition of the three mergers. The three mergers that closed in January had seasonally high deposits at the date of acquisition, and some decline in these balances was expected. In addition, we've seen meaningful run-off in public fund balances across the entire footprint, as we've experienced very competitive deposit pricing in the space. And we've been unable to justify paying the rate required to keep many of these accounts. There's no question that competition around deposits continues to remain strong. As John mentioned earlier, our total cost of deposits increased from 43 basis points for the third quarter of 2018 to 52 basis points for the fourth quarter. We continue to have regular and frequent conversations around our deposit pricing, our product offerings, and effort to ensure our bankers are properly equipped, compete and take care of our customers. As you look at geographical performance relating to deposits, we have five commodity bank divisions standout this quarter for deposit growth. Our Dallas Texas, Memphis Metro, Tennessee Metro, West Tennessee and Northeast Arkansas divisions all reported excellent results this quarter. Moving to slide 10 you will see our loan portfolio as of December 31st, compared to the third quarter of 2018 and the fourth quarter of 2017. We ended the year at just over $13 billion in loans and the same comments that made regarding the impact of the transactions on period-over-period deposit balance comparability and also applicable to loan portfolio. Our history tells us that mergers typically generate some loan runoff. So we are particularly pleased in our ability to overcome expected runoff in the acquired portfolios and produce organic growth for the year. It's important to note and I think Dan mentioned that organic loan growth in Texas really have announced and have closed two acquisitions was 10% for 2018. In fact, as you look at our loan totals by geography, Texas at just over $3.5 billion in total loan footings is now just behind Mississippi. And it's our expectations that Texas will soon be our largest loans geography. We believe our geographic diversity is a core strength of the company and we're excited about the prospect of achieving loan growth in these higher growth markets, especially compared and combined with a stable core funding base provided by our legacy markets. As we look at our fourth quarter lending average from a geographical perspective, we have several divisions produced meaningful loan growth. Standout divisions for the quarter were our Texas -- excuse me, our Dallas Texas, Heart of Texas, East Texas, and Northwest and Louisiana division. Slide 11 contains credit quality highlights. I'd like to touch briefly on a couple of these bullets. As John mentioned earlier, we had a provision for credit losses of $1 million for the fourth quarter, compared with no recorded provision for the third quarter of 2018 and a provision of $500,000 for the fourth quarter of 2017. Net charge-offs were $1.9 million for the quarter or six basis points of average loans on an annualized basis. Net charge-offs for the year totaled only $2.6 million or two basis points of average loans. Our non-performing loans and non-performing assets are very stable year-over-year as a percentage of net loans and leases. At December 31, 2018 NPLs represented 74 basis points of net loans and leases compared to 71 basis points a year ago. Our non-performing assets were 81 basis points of net loans and leases compared to 76 basis points a year ago. And looking at quarter-over-quarter trends, we saw an increase in certain of our non-performing and criticized loan balances. These increases were driven primarily by loans in our acquired portfolios and we provided additional detail in our press release this quarter to break out non-performing and criticized balances by acquired loans as well as BancorpSouth originated credits. Moving on to the mortgage and insurance, the tables on slide 12 provide a five quarter look at our results for each product offering. On mortgage banking operation produced origination volume for the quarter, totaling $305 million. Home purchase money volume was $239 million or 78% of our total volume for the quarter. Our total volume was relatively flat compared to the fourth quarter of 2017 volume of $308 million, although purchase money volume was up 9% over this time period. Deliveries in the quarter were $251 million compared to $309 million in the third quarter of 2018 and $267 million in the fourth quarter of 2017. Production and servicing revenue, which excludes the MSR adjustment, totaled $4.8 million for the quarter, compared to $5 million for the third quarter of 2018 and $4.9 million for the fourth quarter of 2017. Our margin was 0.88% for the quarter representing a decrease from 1.02% for the third quarter of 2018. Our margin is typically lower in the fourth quarter as a result of the declining pipeline and the slowest period of the year for home sales. This seasonality is reflected in the quarter-over-quarter pipeline declined of $21 million. While recent rate movement has resulted in some additional refinance activity, we still expect competitive pressure to drive our 2019 margin down 150 range compared to our historical average of approximately 170. Finally, as Dan mentioned, earlier the MSR valuation adjustment during the quarter was a negative $8.1 million. Moving to insurance, total commission revenue for the quarter was $28 million, compared to $31.7 million for the third quarter of 2018 and $25.8 million for the fourth quarter of 2017. As we've mentioned on the last several quarters, the accounting revenue recognition change were contingent commissions, impacts and comparability of fourth quarter results to the prior year. These contingent commissions are included from the other component of insurance commission revenue. The decline in total commission revenue compared to the third quarter is seasonal as fourth quarter is always our lowest quarter for the year in terms of policy renewals and outlook of business. When comparing the fourth quarter results to the fourth quarter of 2017, property and health commission revenue was up approximately 3%, while life and health commissions’ revenue was essentially flat. This growth rate is consistent with we've been reporting for quite some time now. And a soft premium market, our team is continuing to finalize to grow our customer base as well as broaden relationships with current customers in order to sell new policies. As I mentioned in the past, we continue to have an outstanding policy renewal rate. While it's not shown on this slide, I'd like to briefly mention our success by our wealth management team, while market valuations are negatively impacted our fourth quarter. And as John mentioned, our wealth management team had a great year in 2018. Total wealth management revenue for the year was $23 million, which represents an increase of over 7% compared to 2017. We will continue to strive to attract quality producers and grow real customer relationships in this area. Now, I will turn it back to Dan for his concluding remarks.
Dan Rollins: Thanks, Chris. 2018 was a remarkable year for our company. I'm pleased to see our team's persistence and hard work pay off. As I mentioned earlier, we closed the first three bank mergers that our company has completed in over a decade. We also announced two additional transactions late in the year, which are currently pending regulatory approval. Our lenders work hard to overcome run-off in our acquired loan portfolio and produce meaningful organic loan growth. I was particularly pleased to see our team produce approximately 10% organic loan growth in Texas. As we continued to expand faster and growing geographies, we expect of our total organic growth to continue to improve. While the fourth quarter has historically been one of the lowest quarters for insurance, our insurance team continues to grow revenue, our wealth management team had a record year and our mortgage team continues to battle through the industry headwinds and grow purchase volume. Importantly, we achieved all of the success while improving our net interest margin, improving our efficiency and maintaining strong credit quality. These wins resulted in record annual earnings for 2018. As we move into 2019, we have more work to do to achieve desired levels in certain of our operating metrics, including efficiency. We will continue to focus on growing our company both organically and through strategic opportunities, while controlling our cost structure and effectively managing credit and interest rate risk. I'm confident we can continue to build on the success is achieved in 2018. Operator, we're now ready to take questions.
Operator: We will now begin the question-and-answer session [Operator Instructions] The first question comes from Michael Rose with Raymond James. Please go ahead.
Michael Rose: Hey, guys. Good morning. How are you?
Dan Rollins: Good morning, Michael. Happy New Year to you.
Michael Rose: Thank you, you as well. Dan I'm going to ask you to pull out your crystal ball here. Appreciate your comments on Texas loan growth, 10% organic last year. It looks to be about 27% or so, the loan book and clearly growing. What's kind of the expectation as you obviously integrate these deals and get some momentum out of them? It seems like that could be a number that moves higher. And maybe if you can just give some color around what you're seeing in your legacy markets in terms of competition and activity? I guess it’s a roundabout way of asking what the -- what this core growth rate of the company would be this year, but again I'm asking you to pull out your crystal ball? So, thanks.
Dan Rollins: Sure. Sure, I think we still think that we can grow where we've been wanting to grow. Last year, we didn't quite get where we thought we would be. We grew organically probably on the lower end of the single digits. We think we can grow on the higher end of the single digits. Texas is going to obviously drive some of that. When you look at job growth across our footprint, today for 2018 though U.S. Labor Bureau put out some statistics recently, four of the eight states that we're in grew jobs slower than the U.S. and four little faster, two of them sitting right on top of the growth rate. Texas clearly is way out front on that. And when you look at just the raw numbers, even one of the states that was growing a little faster than the U.S. average, the number of jobs is just considerably smaller than what you see when you look at the Texas economy that's just so big. From a growth perspective for us, we’re excited about the ability to continue to expand. We continue to add lenders; we've added some lenders in the Austin market recently. We've added some lenders in the Houston market, both with the Icon transaction and then some new folks joining our team. We've got two new locations coming online early in 2019 and Houston that will help us. Dallas transaction with Grand Bank doubles our footprint in Dallas from two locations to four. We need more than four, obviously, but we really think that there is opportunity there. And frankly some of the slower growing markets that we're in, we're just not seeing growth at all. And we have not been complaining about -- I'm not a big complainer, but when you look at what's happening, we always expect to see some loan runoff in what we acquire. So when you're looking at our book today and you see the growth that's there, I think you got to also look back and say well, what really ran off on the loans that were there before that we didn't want. And you can see Chris talked about nonperformers. Clearly, there's some stuff in the books that we need to move out, and we've got to cover that back up. Saying all that, I think we're pretty encouraged about where we are. I think 2019's queued up to be a good year for us.
Michael Rose: So just related to that, the paydown's been a pretty big issue for the industry. What -- I guess, if you look back, it's hard to strip out on an organic basis, but what were the kind of the level of pay downs you experienced relative to production and would you expect that level of pay downs based on what you can see today to potentially slow in 2019?
Dan Rollins: Yes. So there's two parts to pay downs. If you're looking at just the normal pay downs through normal business, if we’ve not done any acquisitions, you're right. We think that there's been some opportunity for people to move loans into the secondary market non-recourse dollars that are out there. But in addition to that normal piece, we closed the two transactions back in January and we experienced those – those portfolios contracted throughout the year. I think we're towards the bottom of that. I think when we look at the Texas portfolio, we actually grew a little bit in the Texas acquisition in the fourth quarter, and we were basically flat in North Louisiana. You heard Chris say that Northwest Louisiana was one of the territories where we grew in the fourth quarter. So I think those two acquisitions that came on early last year, I think we've made the changes that we need to make there. And I think we're feeling like we can grow from here. But both of those portfolios contracted throughout last year and we covered that up with the organic growth inside. So I think it's -- while you’re -- many of you all will do the math and say we grew whatever the number was, that's true when you pull off what we actually acquired. If you give us credit back for the loans that ran off that we probably wanted to run off or that’s the natural reduction in acquired credits, I think our organic growth was pretty good.
Michael Rose: No it's all very helpful. May be just one follow-up for me. Just as we think about the flat curve and the potential for no rate hikes this year, obviously a nice boost in the core margin this quarter. And I appreciate all Chris' comments on the deposit efforts. I mean in the absence of rate hikes and curve remaining flat, I mean do you guys think that you can potentially expand the core margin from here as you kind of remix into some higher yielding loans? And then do you have an expectation for what the stated or the scheduled purchase accounting accretion is or will be for 2019? Thanks.
Dan Rollins: That was 17 questions and one Michael. I mean we're not going to start on that. So I'm going to bring John in here on margin. When we look -- you really touched on margin and you touched on scheduled loan accretion. As you know loan accretion can be lumpy because there's really two components of that. I don't know if we have anything to disclose on the loan accretion side that you guys -- either one of you guys can jump on and on that. But on the margin side, John I'll let you jump in and talk about kind of where we can see and what our outcome modeling is showing for margin?
John Copeland: Well I would. Michael I would mention this and you can call this out of our press release that accretion for the third quarter was about 8 bps on loan yields in the fourth quarter when you added Icon into that, it was about 11 bps. So Icon added 3 or 4 basis points to that. We expect that to -- that typically dwindle as you go through time. So that's probably the high point. Now we have two projected mergers coming on next year. So will muddy the water even further. And in our budget thing we've included two rate increases.
Dan Rollins: One at the end of next year…
John Copeland: One of them at the end and so have a very little effect on the rates for the year. And I forget now what your other question was?
Dan Rollins: It was all margin related. Where do we see the…
John Copeland: We expect continued bias towards improving margins. We do have some opportunities in loan portfolio to re-price from a 120, 130, 140 up to -- with current rates to 240 something like that, so some significant advantages in the later in our investment portfolio. Icons average loan yields exceeded our legacy portfolio by good margins. We're looking for pickups there.
Dan Rollins: I think again just tagging on to what John saying. When you look at our loan book we've still got a lot of loans that have not re-priced since rates have moved five times. So there is still upward pressure in the loan book that will benefit us and the flat yield curve frankly is helping on the deposit side, because we are not seeing our peers moving deposit cost up very much.
Michael Rose: That's great color. I appreciate the 17 answers to my 17 questions. Thanks guys.
Dan Rollins: Thanks, Michael.
Operator: The next question comes from Jennifer Demba with SunTrust. Please go ahead.
Jennifer Demba: Thank you. Dan, could you talk about the M&A environment as you see it right now? And now also my second question is on average loans, do you guys have any outstanding with some issues from a company this week just wondering what your balances are there if any?
Dan Rollins: Yeah, the second question is the easiest one, zero, no. So that's the easy one. Hi, Jenny. How are you? Good to hear from you.
Jennifer Demba: Good to hear from you.
Dan Rollins: On the M&A side, there is a lot of talk. Clearly, the backup in all financial values in the fourth quarter last year that's got everybody wondering what does that mean and where we're going and what's happening. But there continues to be a lot of discussions around where are we going? What are we doing? And again, I'm typically talking on the smaller size transactions. There is a lot of smaller banks out there. Some of the bigger banks there are certainly those too and we see opportunities – I think we're continue to have ongoing discussions with lots of different potential partners. They are all trying to decide where are we in the cycle? What is the real value? Is the market going to come back? Do we move forward today? Take somebody else's stock and ride the market backup if the markets coming back? Like Michael said a minute ago, I'm not sure what the crystal ball is looking forward on that. But I do think there is a lot of talk out there today and I think we will see continued transactions through the year.
Jennifer Demba: Thanks so much.
Dan Rollins: Thank you, Jenny.
Operator: The next question comes from Jon Arfstrom with RBC Capital Markets. Please go ahead.
Jon Arfstrom: Thanks. Good morning.
Dan Rollins: Hey, Jon.
Jon Arfstrom: Hey. Just a couple of questions for you. Maybe let's start on expenses. John, can you give us a little bit of help on a starting point and what kind of expectations you have for Q1? It sounds like compensation comes off a little bit, obviously, the merger expenses are out, you get some FICA coming back in, maybe some cost saves from the deal? So there's a lot – a lot in there hard for us to guess. Can you give us a little bit more help on that?
Dan Rollins: Yeah, John's got –
John Copeland: There's a lot in there for us to guess that as well.
Dan Rollins: You hit the big points and John can – John's trying to --
John Copeland: I would hesitate to give you any real exact guidance on what would you expect – you are looking for run rate.
Jon Arfstrom: Yep
John Copeland: On expenses as in particular salaries – salaries and employee benefits. Salaries are going up with the acquisitions obviously. We added the two acquisitions earlier in the year. We added Icon in the fourth quarter.
Dan Rollins: And Icon was in for the full quarter.
John Copeland: They were in for the full quarter. So that – that should guides you pretty well as to the effect of those. Although, I guess from the first two acquisitions, we have achieved most of the headcount related cost saves. For Icon, we still have significant headway to make on reducing the headcount for Icon. So…
Dan Rollins: Began this month
John Copeland: Began this month, because the conversion was in the quarter, in the fourth quarter. So that's going to come down. I'm not going to give you a number, but certainly those factors will affect what we see in the quarter.
Dan Rollins: Yes. I think there's moving parts there. John talked about them. So the negative to comp in 1Q is we've got to come back up on. We had a positive benefit that we were truing up, incentive compensation. The negative benefit in 1Q is, as we turn back on some FICA expense that wasn't there in the fourth quarter. The positive in the first quarter is, as we will start to experience some of the cost savings, probably not a full quarters worth, but we will start to experience some of the cost savings coming in from the Icon side. On the rest of the expense base, I think we've got room to continue to move on efficiency. So it's hard for us to put a number out to you John, but I think we feel pretty good about being able to continue to improve efficiency through 2019.
John Copeland: We can improve efficiencies, in particular. Although, the size of the three acquisitions doesn't really move the needle very much, but as we pile these smaller acquisitions into the mix that coming into the acquisitions their standalone efficiency ratios were better than others. They don't typically have a lot of, what I would call, low margin businesses like mortgage and insurance that we have. So their efficiency ratios, combined with cost saves that's stacked on top of those, are already fairly efficient operations, should by itself tend to push of our efficiencies down, at least our efficiency ratio down.
Dan Rollins: The other two transactions that John mentioned, clearly, we're in the queue with the regulators. We hope to be able to close those transactions here in the second quarter. That's all pending regulatory approval and drew the protesters that are out there. So we'll deal through that just like we did that with Icon, but I think we're are on track to close those two transitions in the second quarter, which will muddy your water a little bit for you when you look. But those transactions are relatively small.
Jon Arfstrom: Yes. Okay. And just on that topic Dan, I know you've seen this before, but would you consider giving us a little bit more detail on the future in terms of what the real core organic growth looks like? And what the acquired bank balances look like? Because I think you said, Central Community and Ouachita had bottomed in Q4? But it's just hard for us to get a real good gauge. I'm just curious if you'd be willing to give us more on that?
Dan Rollins: Sure. I think what we'll look forward, John, there is, we've got some new slides coming into the investor deck as we hit the road this year. You'll be able to see some of that there. Again, it's too early to tell whether they bottomed or not, but I would tell you that, from my appearance, it looks like the Central Community guys bottomed at the end of the third quarter. And we're hopeful that the Ouachita guys bottomed at the end of the fourth quarter. We had virtually no shrinkage in the fourth quarter. So it looks like we're in good shape there. The Icon Group is going to see some contraction here for the next couple of quarters and so we've got to outrun that.
Jon Arfstrom: Yes. Okay. All right. Good. Thanks a lot. Nice job.
Dan Rollins: Thanks.
Operator: The next question comes from Catherine Miller with KBW. Please go ahead.
Catherine Mealor: Thanks. Good morning.
Dan Rollins: Hi Catherine.
Catherine Mealor: I'm going to try the expense question another way.
Dan Rollins: Different way?
Catherine Mealor: So two parts of it. First on the FICA. Do you remember what your FICA increase was in the first quarter of 2018?
Dan Rollins: I don't. It's around $1 million
John Copeland: I'm guessing around $1 million.
Catherine Mealor: Okay, that's all right. That helps. And then on the expense savings.
John Copeland: I guess, I wasn't sufficiently vague and evasive that…
Dan Rollins: That’s the first half.
Catherine Mealor: I've got a number to work with. And then as I think about Icon, when we were calculating the deal I think we had about 20% cost savings, which was about $5.5 million. So how much of that $5.5 million, I guess that's annual, so what's -- by about 4 [ph] or 1.4. So how much of that 1.4 on cost saving do you feel like was in the fourth quarter run rate?
Dan Rollins: Zero. Well, that's not true. A little bit. But not much. So here's what happened on Icon in the fourth quarter. So we closed on October 1st. We integrated them into our platform and onto our computer system in December 1st. So we ran full load, pretty much everything through two months of the quarter. If there were some savings that was going to be relatively small for the month of December. So you had a pretty full load in the fourth quarter on them. I would want to brag on the speed of getting that done though. When you look back we closed the first two on -- in January, integrated one in February, one in June. So we carried expenses further into the year. With Icon, we're learning and playing a better game every day. So that the three transactions that we did we got better with our team every time. And the ability to do that in a very short window of time in the fourth quarter I think is a real positive for us. And will benefit us and set in 2019.
Catherine Mealor: Got it. Okay. So really I mean, it feels like a FICA and the cost savings from Icon, others just kind of net off for each other. We can do that math. I guess, I'm directionally just trying to figure whether 1Q's expenses are lower than fourth quarter with all the moving pieces? But I don't know if John, you're comfortable at least giving a direction.
John Copeland: Yes that's hard. So we're locked -- we're walking the same like that you are Catherine trying to figure out what's there. I would invite you to go back you can't go back to last year. Because last year had the two acquisition in the first quarter. But if you go back to year before, you could probably pick up an idea of what the change was year-over-year from 4Q to 1Q. You've got multiple items that are in there. I think when I look at the numbers that most of you guys were putting out. Most of you had insurance in the fourth quarter higher than it was. That seems to be a recurring thing that happens year after year after year. You guys don't lower the insurance revenue and not in the fourth quarter. We should see improving insurance revenue in the first quarter. So I would encourage you to go back and look at the last years first quarter. The comparables on a quarterly basis for insurance, we had none last year because of the accounting change. I think you can look forward to 2019 and build off of the true quarterly run rate off of insurance from 2018. So I think that will help you build up from a number.
Catherine Mealor: Okay, that’s helpful. And then maybe last one on the buybacks. Just given your expectations for additional M&A coming on and still being active there, how active do you feel like you'll be in the buybacks this year?
Dan Rollins: I think we want to make sure that we're managing capital that's the most efficient way we can use it in. So when you look at the price earlier this year, we've got as you've heard me say before, we've had a whatever it is 10b5-1 hike ready to go plan in place and it's a formula-driven plan based upon pricing in the market. I would suspect that we're in the market this quarter because of that now, since then we've actually improved as have all banks here coming into the middle of the month. So we will be active with our buyback. The buybacks this year was three million shares authorized compared to the six million shares that we bought last year. I think whether we feel that whole thing or not it's really going to be dependent upon what's happens to valuations throughout the year. If we can use of our stock and transactions, I think that clearly would be our preference if the market rewards us. And we run up or the industry runs up that will help us to be able to do that if the multiples stay low that may slow M&A activity and we may stay in the buyback mode.
Catherine Mealor: And how you think about M&A with using more cash in acquisition?
John Copeland: You can do both. That's the same thing. So you're watching your book dilution there. We -- you can throw a lot of cash in and you can burn up a lot of -- or build a lot of dilution in. And we want to -- two things from my side, when we're looking at teams that are coming on board from a so far, all five of the transactions are community banks with ownership -- with customers that have ownership in the bank. We like having that ownership in the communities we serve. So putting stock out into the communities we serve when we're merging with these banks is very beneficial to us and we want to continue to put that stock out into the market because some of those folks are going to hold that stock for a long time. They become very loyal customers to us when that happens and we like using our stock.
Catherine Mealor: Got it. All right. Thank you for the commentary.
John Copeland: All right. Thanks, Catherine. Good to hear from you. See you soon.
Catherine Mealor: You too.
Operator: The next question comes from John Rodis with FIG Partners. Please go ahead.
John Rodis: Good morning, Dan.
Dan Rollins: Hi, John.
John Rodis: How you're doing? Just an easy one, I guess. What sort of the right effective tax rate to use going forward? It was what 19.5%, 20% for the fourth quarter?
Dan Rollins: Yeah, there was a little bit of benefit in there, John's going to get into there and talk about that. There was a little bit of benefit in fourth quarter.
John Copeland: About $0.5 million in R&D tax credit for the fourth quarter. If you adjust for that then you should get pretty close I think.
John Rodis: Okay.
Dan Rollins: John, you pulling for the St. Louis Rams in the Super Bowl?
John Rodis: Absolutely not, Dan.
Dan Rollins: Oh, okay.
John Rodis: There is no way. Dan, one other question just on the insurance business. So, you put off low single digit growth this year. Absent new hires and so forth, what would it take to see better growth out of that business on the fee income side?
Dan Rollins: You're talking specifically, you bridged to two gaps there. You said insurance in the beginning then you said fee income side…
John Rodis: No, I didn't – yeah, I just insurance, I'm sorry.
Dan Rollins: Okay.
Chris Bagley: Yeah. This is Chris, John. For insurance, we're still in soft market. You need some firming up of the premiums or acquisitions on our side as we continue to look for smaller or more cultural fits from an acquisition on the insurance side, which we're continuing to do. So that would be the two things we're looking for. In the meantime, I think they're doing a good job, battling out, keeping customers and growing the revenue. We were up I think 1.5% for the year, which is not a world record but it's nice in the market that we're in. Our guys have done a good job.
Dan Rollins: And I think we can attribute all most all of that to customer growth, not margin growth.
Chris Bagley: That's right.
Dan Rollins: So we need the market to firm up. There is still talk out there that some of the storms that come through last year can cause the market to firm up some. I don’t know that we're experiencing that yet. On the other fee income line, I guess I jump back to the other fee line; we clearly get full year benefit from Icon coming on that we did not have before. We continue to see increasing volume in our card revenues. We processed through the cards that we have out last year almost $4.5 billion in transactions through our cards that are out there. So that card revenue continues to grow. There's other growing parts out there on the fee side, insurance has the headwinds of the industry. Mortgage has industry head wins.
John Rodis: Right.
John Copeland: And it's hard to predict time on that, but there's going to be hopefully, we hope to pursue some synergies in our new footprints, in our new markets that help play in the insurance place to itself.
Dan Rollins: On the trust and wealth management side, we've seen some wins on the customer side there. I think most of those fees are value based and so you've seen values dropped significantly in the fourth quarter that will impact fees coming into the year on trust and wealth management. But if the market recovers some of that back, that will benefit us. They are continuing to grow customers and grow dollars.
John Rodis: Okay. Make sense. Thanks, Dan. Thanks, Chris.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Rollins for any closing remarks.
Dan Rollins: Thank you all for joining us today. If you need any additional information or have further questions, please don't hesitate to call us. Otherwise, we'll look forward to speaking to you again soon when we're out on the road.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.